Operator: Good afternoon, my name is Mike and I will be your conference operator today. At this time I would like to welcome everyone to the Q2 Holdings Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be question-and-answer session. (Operator Instructions). Thank you. Mr. Bob Gujavarty, you may begin your conference.
Bob Gujavarty: Thank you, good afternoon. Let me begin by highlighting our participation at several investor events this quarter. We’ll be attending the RBC TMT Conference in New York on November 11th, the Stifel One-on-One Conference in Chicago on November 13th, the ROTH One-on-One Conference in San Francisco on November 18th and the BMO TMT Conference on December 9th. Welcome to Q2 Holdings third quarter 2014 earnings call for the period ending September 30, 2014. I’m Bob Gujavarty, Vice President of Investor Relations and with me today on the call is Matt Flake, our President and CEO and Jennifer Harris, our CFO. As a reminder today’s conference call is being broadcast live via webcast. In addition, a replay of the call will be available on our website following the call. By now you should have received a copy of our press release that was distributed this afternoon. If you’ve not, it is available on the Investor Relations section of our website. Please remember that certain statements made during this call, including those concerning our business and financial outlook for the fourth quarter and full year 2014, our growth opportunities and expectations, our long-term financial targets, anticipated improvement in gross margins and operating margins, areas of strategic focus and investments, our market opportunities and anticipated demand for our products, the benefits of our products including our new 4.0 release and the strategic advantages they offer to our customers, anticipated benefits from our partnership with NAFCU, and our momentum with credit union customers, expected advantages of and demand for our unified platform offerings, continued investment in additional product offerings for our current customers and our ability to continue innovating and meeting customer expectations, future product improvements and functionality, our ability to implement new customers on schedule, particularly our tier 1 customers whose implementations are typically longer and more complex are forward-looking statements. These statements are subject to a number risks, uncertainties and assumptions described in our SEC filings including our Form 10-Q for the third quarter of 2014 which we anticipate filing with the SEC on or before November 14, 2014 and risk factors described in our final prospectus dated March 19, 2014. Should any of these risks or uncertainties materialize or should any of our assumptions prove to be incorrect, our actual results could differ materially and adversely from those anticipated in these forward-looking statements. These statements are also based on currently available information and we undertake no duty to update this information except as required by law. Cautionary statements regarding these forward-looking statements are further described in today’s press release. During this call we’ll be referring to both GAAP and non-GAAP financial measures. We believe that non-GAAP measures are more representative of how we internally measure the business and they are reconciled to GAAP in the tables attached to our press release available on our Investor Relations website. The non-revenue financial measures we’ll discuss today are non-GAAP unless we state the measure as a GAAP number. Any non-GAAP outlook we provide has not been reconciled to the comparable GAAP outlook because among other things we cannot reliably estimate our future stock-based compensation expense which is dependent on our future stock price. With that, thank you for joining us and I'll turn the call over to Matt Flake.
Matt Flake: Thanks Bob and thanks to all of you for joining us today for our third quarter earnings call. During the call I will provide a high level overview of our financial results from the quarter, share details on several strategic sales wins and discuss some key business developments. I will then turn the call over to our CFO, Jennifer Harris who will take you through the financial results in more detail, including our outlook for the fourth quarter and full year 2014. We are pleased to announce another quarter of exceeding guidance. During the third quarter we generated total revenue of $21 million beating the high end of our guidance of $19.8 million and up 47% year-over-year. In addition we are pleased to announce that we exited the quarter with a record 4.1 million registered end users on our platform representing a 39% year-over-year increase. The third quarter saw the organization executing on multiple fronts from sales to partnerships to delivery. During today’s call I would like to highlight two key sales wins in order to provide some examples of how Q2 solutions are playing a central role in the transformation underway in the financial services industry. We continued to add new bank customers during the quarter. The first is a bank headquartered in the Southeastern United States. This bank recognized the value of upgrading to Q2’s platform to replace their core provider’s online system. This bank has a strong commercial focus and one of its critical strategic initiatives is to complete with money center banks for commercial business without sacrificing the look and feel of their retail solution. With our single platform the bank will deliver a consistent, modern and intuitive user experience driving their brand strategy of unifying both retail and commercial experiences. With our integrated commercial functionality including one of the industry’s most comprehensive mobile commercial offerings Q2’s platform will position the bank to retail and grow valuable commercial accounts. We continue to see momentum in the credit union space as well. One of the credit unions we added, a top 100 credit union in the Midwest chose the Q2 platform for a full replacement of their existing online and mobile banking systems. By selecting Q2 the credit union is eliminating point system providers and consolidating on to our single platform, enabling them to deliver a consistent user experience to retail and small business members anytime, anywhere on any device. Due to the elimination of multiple systems the credit union will realize operational efficiencies in training and support, therefore driving down their total cost of ownership. These wins were against two of our traditional competitors, core providers and point systems providers. We’re also competing favorably against payment processing companies and we are continuing to put pressure on our competitors with our single platform and proven ability to deliver a wide range -- to a wide range of financial institutions. Sustaining momentum within the credit union space an important part of our strategy and I am pleased to announced that Q2 was recently named a preferred partner of NAFCU, the National Association of Federal Credit Unions, a leading trade organization which represents more than 70% of credit union assets in the United States. This partnership makes our single platform their preferred solutions for online and mobile banking and we believe it further validates our technology and innovation driven structure. Given NAFCU’s status as a trusted advisor to so many credit unions we believe that NAFCU’s endorsement of Q2 will accelerate our growth in the space. We are pleased to add this to the previously announced endorsement by the American Bankers Association making us the preferred solution for online and mobile banking for two leading trade organizations. The third quarter demonstrated our continued ability to collaborate with our customers and deliver our products to the market. I am particularly proud of the successful implementation of Heartland Financial a $6 billion multi-bank holding company. The joint efforts of our team enable us to accomplish their goal of a phased implementation of Heartland’s unique subsidiary banks in a nine month period. The delivery of our solution to Heartland reinforces proven track record of implementing our platform for large complex customers an area of leadership for Q2 and something that continues to distinguish us from the competition. I would like to add that we are making great progress on the implementation of the tier-1 customers we signed earlier in the year and remain on track for the delivery in 2015. In addition to taking new customer live we are also seeing strong adoption of version 4.0 of our platform. This really strengthens our position as an innovator in the market, and we believe will provides with an unparalleled unified user experience. Only one quarter into the general availability of 4.0 over 10% of our registered users are already live on 4.0 demonstrating our ability to roll out new features and meet our customer demand for innovation. In closing we are proud of another strong quarter which demonstrated market share gains, continued execution and a key industry endorsement. We believe there are revenue growth long term contracts and high revenue visibility make us unique in the market place. With that I would like to hand over the call to Jennifer to discuss our financial performance.
Jennifer Harris: Thanks, Matt. We are pleased to had delivered third quarter results that exceeded our guidance for revenue and adjusted EBITDA. I will briefly review our results for the third quarter before finishing with updated guidance for the fourth quarter and full year 2014. Total revenue for the third quarter was $21 million, an increase of 47% year-over-year and above the high end of our guidance of $19.8 million. Our increased revenue in the third quarter was principally the result of strong growth in subscription revenue. Subscription revenue benefited from a full quarter contributions of customers that went live late in the second quarter as well new customer go live and organic user growth from existing customers. Subscriptions and services revenue were also up quarter over quarter as a result of merger activity in the quarter which contributed over $500,000 of revenue to the quarter. Historically merger activity has been favorable to Q2 resulting in a net gain of registered users but the timing and magnitude of merger activity is difficult to predict. Transaction base revenue increased in actual dollars but continue to decline as a percentage of total revenue and represented 22% of total revenue in the quarter down from 24% in the year ago period. As a reminder I would like to briefly recap our revenue model and key drivers of growth. We priced our solutions based on the number of solutions purchased by our customers and the number of registered users utilizing our solutions. We earn additional revenues based on the number of bill pay and certain other transaction that registered users performed on our virtual banking solution in excess of the levels included in our standard subscription fee. As a result our revenue grows as we add new customers as our existing customers buy more solutions from us, as the number of registered users utilizing our solutions growth and as the number of transaction users make using our solutions increases. As we turn to gross margin and operating expenses please note that unless otherwise stated all references to our expenses and operating results or on a non-GAAP basis. While we continue to invest in improvement in our implementation processes and infrastructure to drive gross margin improvement, gross margins will vary from period to period depending on factors specific to each period such as the amount of implementation services required to deploy our products relative to total contract value, timing of new customer go-lives and the mix of internal and third-party revenue, product revenue. Non-GAAP gross margins was 42.9%, up from 36.5% in the third quarter of 2013 but down slightly from the previous quarter. The year-over-year improvement was primarily attributable to higher utilization of data center capacity and increased productivity of headcount investments made in 2013. While the sequential decline was due to a combination of the investment in tier 1 implementation capacity as mentioned during our second quarter earnings call and a one-time impact from third party de-conversion fees. We continue to expect margins to improve as we drive higher utilization of implementation staff and improved service efficiency. I would like to remind investors that given the disparity between the subscription and services gross margin, the mix of revenue has significant implications on gross margin. Our subscription revenue generates higher gross margin than services revenue and our Tier 1 customers typically require larger service engagements and drive a higher mix of services revenue relative to the smaller Tier 2 customers. Additionally, our accounting and services revenue and expense acts as a headwind to gross margin improvement. We expense approximately 60% of services costs when performed while the corresponding revenue is recognized over the initial term of the contract. Therefore the gross margin impact of new customer implementations is negative in the first year, but should normalize in later years. Note that the cash impact is less negative as we typically collect the cash for the implementation upfront when the services are performed. Turning to operating expenses, we continued to make investments to support our rapid growth. Our total operating expenses were $12.4 million, up 28% from one year ago and up 4% quarter-over-quarter. Sales and marketing expenses were $5.5 million, up 21% year-over-year but down 7% sequentially. The year-over-year increase is primarily due to investment in sales headcount in 2013 while the sequential increase was driven by our customer conference which occurred in April. Research and development spending was $3 million, up 38% year-over-year and up 13% from the previous quarter. The increased R&D spending year-over-year reflects increased investments in headcount to support enhancement to our existing platform as well as new product development and the sequential increase was also largely due to headcount related spending. We plan to continue to invest in new and innovative products and continued improvement of our platform. General and administrative expenses were $4 million, up 31% from a year ago and 15% from the prior quarter. We added G&A headcount in 2013 in preparation for becoming a public company and will continue to invest as the business grows and we operate as a public company. The sequential increase was due to a combination of headcount related spending and spending on professional services related to operating as a public company. We expect G&A spending as a percentage of revenue to peak in 2014 and expect to begin to demonstrate operating leverage in 2015. Adjusted EBITDA was negative $2.3 million better than the high end of our guidance of negative $3.1 million and an improvement from negative $2.5 million in the previous quarter. The better than expected results were driven primarily by the higher than anticipated revenue and gross margin. We ended the quarter with cash, cash equivalents and investments totaling $90 million. Cash flow from operations was negative $144,000 and in addition the company incurred net capital expenditures of $1.3 million and paid down $2 million of debt. Our deferred revenue on September 30th was $36.6 million, up from $32.3 million on June 30th. I’d like to remind you that we bill our customers for their subscription fees on a monthly basis and therefore we do not believe it is meaningful to look at deferred revenue as an indicator of future revenue. The increase in deferred revenue reflects customer deposits collected during the quarter partially offset by the revenue recognized during the quarter for services engagement. Let me wrap up by sharing our fourth quarter and full year 2014 guidance. We forecast fourth quarter revenue in the range of $21.6 million to $22 million and we are raising our full year revenue guidance to a range of $78.6 million to $79 million representing a 38% to 39% year-over-year growth rate. We forecast fourth quarter adjusted EBIDTA of negative $2.4 million to negative $2 million, and negative $10.6 million to $10.2 million for the full year 2014 representing a 14% to 17% improvement year-over-year. In summary our long-term contract and low churn result in highly productive revenue and we believe this additional quarter of exceeding guidance reflects positively on our ability to deliver industry leading revenue growth. Along with this strong top line growth we expect to deliver annual improvements in both gross margins and operating margins. With that let me turn it back over to Matt for his closing remarks.
Matt Flake: Thanks, Jennifer. I would like to close by saying, we have a passion for remaining connected with our partner intuitions. Over the past 30 days I have had the opportunity to meet with over 50 of our customers in person. The overwhelming message from them is that they are optimistic about the future and they believe that our technology will be the great equalizer in there transformation from brick and mortar to the virtual branch. I speak for the entire Q2 team when I say we are extremely excited about carrying our momentum into the fourth quarter and 2015. With that let me turn it over to the operator for questions.
Operator: (Operator Instruction). Your first question is from Sterling Auty with JPMorgan.
Sterling Auty: Yeah, thanks. Hi guys, couple of quick questions here. So in the quarter looking at the revenue generation the subscriber ads were great but the revenue was even stronger than I would have thought given the level of adds that you had, transaction revenue came down as a percentage so is it that the number of solutions that customers went live within the quarter is bigger than what you’ve typically seen or something else that might be driving kind of an ARPU on the customer basis?
Jennifer Harris: Hi, Sterling this is Jennifer. So remember that the growth in users is not necessarily linear, it’s a step function and it’s also a function of timing of when customers go live. So we actually saw a lot of customers in the Q2 time frame go live in June leading to a huge increase in registered users in Q2 but you didn’t have a significant impact to the Q2 revenue. We now in Q3 have a full quarter of those plus we had a good number of go lives in Q3 that happened in the July and August time frame. So you are seeing the timing difference in the step function of adding those users.
Sterling Auty: Perfect, that helps a great deal. As you look to the fourth quarter any additional color you can give in terms of expectation on go lives and the timing of them so we can peel out the same impacts for the next quarter?
Jennifer Harris: Yeah, so it’s really hard because things can change with the bank and their readiness to go live and remember that we are coming up on the holidays with Thanksgiving and Christmas and if you don’t get the banks live by Thanksgiving or at least the first week of December then they tend to push and go into the next quarter but I would also remind you, as Matt mentioned, on the last quarter call that Umpqua is still in their friends and family testing phase and so we haven’t seen -- we have seen minimal users from Umpqua and they are still on target to begin to rolling out to all their users in Q4 and continuing in the Q1 of next year. So it really does depend on the timing and the bank’s readiness.
Sterling Auty: Okay, and then last question Matt. Can you just give us some color and commentary around how you feel the ramping up the latest rounds of sales reps that you’ve added, how their productivity is coming along and your expectation for additional sales investments and sales hires?
Matt Flake: How I feel about them? I feel great, they continue -- we’re getting veterans from the space they are able to leverage their relationship and experience and so Jennifer and Steve are pushing really hard on productivity, feel really good about that and as far as don’t forget the relationship management team as well they are cross selling into the existing base. We had our biggest cross sell quarter in the history of the company in Q3 and they did a fantastic job there as well. So we continue to keep pushing down the pipe and I think from the momentum in the pipeline I am confident in our progress and I feel good about the momentum we have and I look forward to giving a full year recap in February on the total progress we made for the year.
Sterling Auty: Great thanks.
Matt Flake: Thanks Sterling.
Operator: Next question is from Tom Rodrick with Stifel.
Matt Van Vliet: Yes hi guys Matt Van Vliet on for Tom. Thanks for taking my question. The first one in regard to the 4.0 release you talked about 10% of your users have already migrated over. What’s the outlook for the remaining 90%? And what benefits from both an operational and I guess revenue standpoint might we see on 4.0 are there additional capabilities that are easier to sell through that or is it just a operational update here?
Matt Flake: Yes, so a couple things there. I don’t know exactly what the numbers would be, we would hope to probably have more than 50% of the end users on the system by the end of ‘15 and the benefits of 4.0 are pretty simple. Number one it puts more pressure on the competition around design and look and feel and so it has more features and functions in it. So it’s a tool for us to sell more products. We see that momentum in the sales pipeline. From a bankers perspective we are driving more efficiency so they are able to consolidate more legacy systems on the backend, offer more commercial functionality, helps them compete with the larger banks. And then from us, any time you have a new release of software you bring efficiencies to the business, our business Q2. So hopefully that will add to our focus of trying to get the profitability and increase margins and all that stuff we’ve talked about. So it is a -- really impressed with the execution of the team of delivering 10% of our customers on that platform and having customers that are referenceable and happy about it.
Matt Van Vliet: Okay. And then the recognition by the National Association of the Credit Unions here, what do you think that means to the sales pipeline and how maybe does that reference to the Bankers Association endorsement that you have received in the past?
Matt Flake: Yes, that’s what I was going to compare it to, we signed the American Banker Association endorsement in October of last year. We got PR out of it, we got to speak at their events, they publicized us and pushed us out in to the marketplace and it’s a trusted advisor to the banks. The same thing is going to happen with NAFCU. We’re going to begin to get PR out of them, it’s a great organization. We think it’s a best trade organization in the credit union space. PR speaking events as well as it helps us build our brand on the credit union side. We are not as -- our adoption rate is not as high on the credit union side as they are on the bank side. So we just think it’s going to continue the momentum there. We’re really happy with the endorsement where we think it’s going to create a lot more momentum than already have in the credit union space just like American Bankers did for us on the bank side.
Matt Van Vliet: All right great, thank you guys.
Matt Flake: Thank you Matt.
Operator: Our next question is from Richard Davis with Canaccord.
Richard Davis: Hey thanks. So payment security is kind of a hot button these days for banks of size. How do you feel you are positioned for this and kind of where are you headed so if maybe you can flesh that out, and then I have a follow-up.
Matt Flake: Yes so we are not a payments company but we do originate payments. We are the only vendor in the space that has organically build fraud analytics and [inaudible] risk and fraud analytics. And so last year we stopped $12 million of fraud and we continue to see our product differentiate itself by stopping fraud with our best practices and we also add to it as well. So a differentiator for us when we sell into a bank or credit union is our fraud analytics product and you see an uplift on the ticket and it really is a competitive advantage for us. So we are passionate about our security offerings that we have and it’s a differentiator for us as we go win deals.
Richard Davis: Got it. And this one maybe harder but do you think you can get like EBITDA upside next quarter if you took like a slug of your balance sheet cash and took five points on the Bears this weekend against the [inaudible]?
Matt Flake: First of all I don’t bet on [Bailer].
Richard Davis: No comment.
Matt Flake: Yes no, I like the way you think though.
Richard Davis: That was great, I will let you guys go, thanks, Matt.
Matt Flake: Thanks.
Operator: (Operator Instructions) And next question is from Matt Hedberg with RBC Capital Markets.
Unidentified Analyst: Yes hi thanks, it’s Dan [inaudible] for Matt Hedberg, thanks for taking the question. Apple recently introduced Apple Pay. I was just curious if you had any thoughts around this any potential impact your target market could impact your business positively or otherwise? Thanks.
Matt Flake: Yes, thanks. In terms of day-to-day impact no I don’t think so but in terms of big picture yes I think anytime there is a technology that moves consumers towards electronic or digital channels it’s positive for us. So making people think about their money on their phone drives more account holders to use their phone to log into online banking I think anytime you do a purchase one of the things that goes through your head is hopefully how much money do you have. And so that’s the information we provide and community banks and credit unions as I mentioned at the beginning of the call, we have met with a lot of them over the last 30 days. They are still trying to get their arms around it but we think it’s a positive for us in the long run and we look forward to Apple Pay coming out and whatever else payment technologies come out.
Unidentified Analyst: Thank you.
Matt Flake: Thanks.
Operator: There are no further questions at this time. This concludes today’s conference call. You may now disconnect.